Ignacio Cuenca Arambarri: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today. We are delighted you are able to be with us for the presentation of our 2019 fiscal year results. The presentation will follow our traditional format. Firstly, we will begin with an overview of the results and the main developments during the period given by the top management that usually we have with us: Our Chairman and CEO, Mr. Ignacio Galán; Mr. Francisco Martínez Córcoles, Business CEO; and finally the CFO, Mr. José Sainz. Afterwards, we will move on to the Q&A session. We'd also like to point out that we are only going to take questions submitted via the web. So please ask your question only through our web page www.iberdrola.com. Additionally, we expect that today's event does not last more than one hour, hoping that this presentation will be useful and informative for all of you. I would now like to give the floor to our Chairman and CEO, Mr. Ignacio Galán. Thank you very much again. Please Mr. Galán.
Ignacio Galán: Good morning. Thank you, Ignacio. Good morning, everyone and thank you for joining us today to this conference call. In 2019, our net profit reached €3,406 million up 13% year-on-year beating once again our record of result based on the model we have been implementing over the last two decades. 20 years ago, we saw the relevance of climate change and the deep implication it will have in the energy sector. We understood that the transition to sustainable model based on electrification of the economy will bring enormous opportunities for shareholders, employees and society. We have started a deep transformation of Iberdrola based in our key pillars: growth, stability, resiliency and predictability. Over two decades of execution we have invested more than €100 billion in renewable energy, networks and storage multiplying our asset base by 5 times and becoming a leader in clean power generation smart grids. We were pioneers in new technologies like onshore wind 20 years ago or offshore wind in the last decade and also in closing all our oil and coal power plant well before our competitors. At the same time, we focus on higher rating countries. We have provided the stability required on a capital-intensive business and diversifiable investment in market which combined the need of new energy infrastructures and predictable regulatory frameworks. Finally, this project has been executable by a stable team with proven expertise and a track record of value creation. The figures we just presented today fully reflect the benefit of this model at a time when the consensus about the urgency of transformed energy model is more unanimous than ever before. The momentum built around climate action and the acceleration in the execution of our strategy how large to continue anticipating our targets in terms of result and financial strength. In 2019, EBITDA grew 8.1% exceeding €10 billion for the first time in our history. Thanks to the contribution of a new investment which increased by 32% in gross terms up to €8,150 million. By January 2020, the group has added 5.5 additional gigawatt in operation, which will produce all across the year and there are already 9 gigawatt under construction in this moment putting us on track to exceed by far the target of 30 gigawatts for 2022 we said a year ago. This expansion of investment will be possible, thanks to our strong financial position based in our generation of cash flow and the asset rotation measure implemented. All-in-all this set of result has allowed the Board of Directors to propose to the Annual Shareholders Meeting a shareholder remuneration of €0.4 per share, a 14% increase compared to the last year reaching the 2022 floor three years in advance. Focusing now on operating result. As mentioned EBITDA increased by 8.1% to €10.1 billion thanks to the strong performance of the Networks and Generation and Supply and to the recovery of renewables. Networks EBITDA rose 7.1% driven mainly by Brazil and U.K. In Energia, our Brazilian subsidiary higher demand and distribution tariffs especially after review approved last year in August in São Paulo and the synergies and cost savings implemented along the year has driven a 29% increase in operating result. In the U.K., EBITDA grew 7%, in line with the expansion of our regulated asset base, both in transmission and distribution. The resulting renewable business, were affected by the 32% decrease, in our hydro production, in Spain. We had an impact of around €170 million. However, this gap was almost fully offset by the additional output of 2.8 gigawatt of new capacity, installed in the last 12 months. And the increase in offshore production, up 35%, thanks to the generation of the first turbines of East Anglia One. And the good performance of our wind farm, in U.K. and Germany. As a result, the decrease in EBITDA of renewable was limit to only to 2.4%, from the 4.1% registered, in September. Operating result in Generation & Supply increased by 21.1%, driven by the contribution of around 2.6 gig capacity installed, in Mexico, during the year, the higher output in Spain, and the better performance of our global retail and digital services activities. Finally, foreign exchange rate had a small positive impact on EBITDA, mostly connected with the revaluation of the dollar, offsetting the negative evolution of the Brazilian real. As anticipated during the year, over the fourth quarter investment had continued accelerating to reach a total of €8.158 million, in gross-term. This means a 32% increase in the last 12 months, compared to just 2%, in the first quarter, 22% in the first half and 27%, in September. Close to 50% of the total investment were located to Networks. And 80.5% increase year-on-year, driven by United States, U.K. and Brazil. Renewables accounted for 41%, almost doubling the last year investment, mainly driven by onshore wind and solar in the United States and Spain. And offshore wind in U.K. and the remaining 30% correspond to Generation & Supply. In terms of new capacity, thanks to the investment made last year, we already have 5.5 new gigawatts that will be contributing to production result, for the whole 2020. This brings our total installed power to 52,000 megawatt worldwide. 2019 capacity addition include more than 1,300 megawatt of onshore wind mostly, in the United States, 500 megawatts of solar photovoltaic in Spain, and over 600 megawatts of new hydro Brazil. The first 420 megawatt of East Anglia One, in the U.K. and offshore with remaining capacity 740 megawatt, put in service progressively, in the coming months, in fact, the capacity as told today, over past the 500 megawatts. Finally, 2.6 gigawatts corresponds two new plant commissions, in Mexico as I mentioned before, increasing Iberdrola, total capacity in the country by 40%. In 2019, we have entered a new phase of investment acceleration. The increase installed capacity grows 5 times higher, than the working about -- per annum registered on average, in the last four years. And we expect to continue this trend in the coming future. We already have more than 9 gigawatts under construction on which, 4 gigawatts will be producing around 2020 and the remaining 5 gigawatt in 2021, reaching our 13 gigawatt neo capacity target for 2022, much ahead of schedule. And ensuring further growth, in the country's years thanks to the -- in the coming years thanks to our balance and diversified by line of more than 40,000 megawatt worldwide. We will provide more details about this in our Capital Markets Day, in London, next May. Our net gross investment are also accelerating, as we continue deeply convinced that power grids are the backbone of the energy transition. Last year, we increased our asset base by 6% to over €31 billion sustained by, multi-annual regulatory frameworks. In United States, AVANGRID, subsidiaries Central Maine Power has recently reached an agreement effective in March, for the rates applicable, in 2020. Under this agreement, return on equity will be set at 9.25%, put in a net of -- or to the metering and billing investigation, within adjustment worth of $7 million. During negotiations, continue progressing also in New York. According to the latest case closed, at this stage return on equity will be close to 9% and we expect a significant increase in a lower investment to continue improving resiliency and digitalization of the grid. Board rate cases will conclude different mechanisms -- will include different mechanisms to reduce the volatility result created by change in demand or expenses related to storms. Then again, Brazil has also continued developing a strong pipeline of transmission project aside from its ongoing investment in distribution. In addition to the 10 project already under construction, the company was awarded another project in the last auction in 2019 increasing the lines -- transmission line under construction to 5,100 kilometers for a total investment of around BRL 8,000 million. In the United Kingdom, both the government and Ofgem are recognizing the key role of Networks to achieve its ambitious plan to reach net sale emission by 2050. Over the year, we have also continued gaining visibility on the details about RIIO-T2 and RIIO-ED2 frameworks. In addition, the independent challenge group created by our unit to evaluate business plan in transmission ranked the ScottishPower as the best among power transmission companies. Finally, in Spain, regulation continued progressing over the year. The methodology for the new distribution framework has -- was approved providing visibility up to 2026. The investment estimates included in the National Energy and Climate plan submitted to Brazil could finally lead to the elimination of the current gap of investment. The change would recognize the largest investment required to promote electrification to achieve zero carbon emission in the near future. The generation of operating cash flow in all businesses of 10% to €8,060 million has allowed us to accelerate investment and improve our financial structure. This was also underpinned by our asset rotation plan, which will be the end -- which by the end of 2019 has reached €3.5 billion, a target three years in advance. And continue in January 2020, when the divestment of our stake in Siemens-Gamesa for a total of €1.1 billion and a capital gain close to €485 million. In light of the result, we are presenting Iberdrola Board of Directors agreed yesterday to propose to the company's Annual General Meeting a supplementary dividend of €0.232 per share to be paid in July. Once added to the interim dividend of €0.168 per share paid three weeks ago, total shareholder remuneration will hit €0.40 per share in 2020 increasing by 14% and reaching the dividend floor we targeted for 2022 three years in advance. One of the foundation of our model is a believe that in a sustainable business the optimization of the return to shareholders must always be fully compatible with the interest of employees and associate as large. For the reason, we included a concept of social dividend in our bylaws several years ago. And we further report this commitment in 2018 by including the sustainable development goals as key part of our corporate governance system. Following this principle, environmental, social and government criteria are essential for the strategy and the day management of Iberdrola always under a fundamental commitment to ethics transparency and corporate governance. For shareholders, this model has lead a total return of 37% in 2019 driven by a share price appreciation of €0.31 dividend pay last year. We do appreciate the level of engagement of our shareholders base and their contribution through the different channels at their disposal. This was -- that was evident again in our last Annual General Meeting when the proposed resolution were approved by an average of 98% in a quarter reach more than 74%. Our effort in Investor Relations and Corporate Governance were again recognized by three prestigious award in 2019. Last year, we hired 3,500 new employees and 5,000 more are expected to join us during 2020. Our effort to improve planning and development to our current workforce resulted in 55 hours of training per employee and a new initiative for the promotion of the international mobility like the early carrier program. We also supported up to 900 students to take their post-graduate education in prestigious universities. Our head and safety records continue improving last year with a set of accident goal that in 1919 -- 2019 was achieved already in some of our main markets. All our human resources initiatives are based in ongoing dialogue with a trade union representative. As shown. we -- by the 36 labor agreement reached along the year always with an open and positive approach. The promotion of diversity and equality is also a key principle for us inspiring several policies and measures to ensure equal treatment and opportunities and to improve work-life balance. As a result, Iberdrola was again among the companies included in the Bloomberg Gender-Equality Index. Our commitment to environment protection led Iberdrola to a new milestone in emission reduction reaching just 110 grams of CO2 per kilowatt hour produced, two-third below the level of our peers in Spain and in Europe. Quality of service to our millions of customers also continued to improve in 2019 increasing by a further 10%. And we set a new record in terms of purchase volumes with over €20 billion awarded to more than 22,000 suppliers, which support more than 400,000 jobs globally. Our tax contribution reached €14 billion in which €2.9 billion correspond to taxes reflecting our P&L account €5.2 billion to taxes collected from customers and employees and the rest to indirect asset back to all our activities. Finally, we reinforced our position as best utility in Spain, second in Europe and third worldwide by the investment in research and development dedicating to €170 million to innovation activities. All this effort to improve welfare to the communities in which we operate have been recognized by prestigious entities such as Standard and Poor's Global Platts, which distinguish Iberdrola with Energy Transition Award, our InfluenceMap at Bloomberg, which as I mentioned recognize us for the our climate initiative and our promotion of gender equality. In addition, we have -- we are certified as a healthy company by AENOR and as usual included in all sustainable indices. I will now hand over to the CFO, Pepe Sainz who will present the group financial results in detail.
José Sainz: Thank you, Chairman. Good morning to everybody. According to our auditor final interpretation of IFRS 16, our net debt and P&L figures now include all group leases considering also lands with no exclusive use different from how we have been interpreting it during the first nine months, especially, different from how companies accounted in the U.S. So I have to say that there is some more favorable treatment in U.S. GAAP than in IFRS in this matter. This increase in debt do not affect ratios calculated by rating agencies as they have always considered leasings and rentals as debt thus reduces the difference between the ratios and the figure that we report compared to rating agencies. So final, P&L impacts are as follows; net operating expenses have reduced by €146 million; depreciation is increased by €127 million; financial expenses negative impact is now €53 million. Total effect is that reported net profit is reduced in €22 million. In terms of balance sheet net debt is increased by €1.6 billion with €1.2 billion due to changing criteria versus December 2018 and €400 million as a consequence of new leases added during 2019. As the Chairman has explained 2019 results showed a strong performance of the group with EBITDA up one point -- 8.1% to €10.1 billion and net profit growing by 13% to €3.4 billion. Dollar rose against the euro by 5.5%, pound by 0.7% and the real has depreciated 2.5%. Revenues increased 3.9% to €36.4 billion and procurements 2.7% to €20.2 billion. As a consequence gross margin rose by 5.4% to €16.3 billion. FX added €215 million. Excluding FX gross margin grew, by 4%. Net operating expenses were up, 4.2% to €4.3 billion, including €50 million for efficiency measures, mostly taken in Q4. And IFRS 16 impact of €146 million. Net operating expenses including €64 million of negative FX impact. Including it, operating expenses increased by 2.7%. Levies fell by 5.3%, to €1.8 billion, positively impacted by €118 million decrease, on the Spanish taxes, on generation, due to lower hydro production and lower prices. Analyzing the results of the different business and starting by Networks, EBITDA was up 7.1% to €5.3 billion, driven by Brazil and the U.K. As you can see in the slide, Spain contributed 33%, the U.S. 25%, Brazil 23%, and the U.K. 19%. In Spain, EBITDA grew 0.1% to €1.7 billion, recovering from the 1.3% fall, at September. Positive one-off of €55 million in 2018 has been almost compensated by €49 million one-off, accounted this year. In the U.S., IFRS EBITDA was 5.3% down to $1.5 billion, due to lower volumes in distribution and transmission, increase in expenses as well as tariff adjustments, due to the tax reform in effect during IFRS -- in effect under IFRS, from Q3, 2018 onwards, partially compensated by higher contribution, from a higher ramp. In Brazil, EBITDA grew 32% to BRL5.4 billion, driven by the tariff revisions in Coelba and Cosern, from April 2019, and Elektro from August 2019. Increasing contribution from transmission assets as well as a 4% higher demand and cost contention due to efficiency plans. Finally, in the U.K. EBITDA was up 6.5% to ¥867 million, with higher revenues both in transmission and distribution, as a consequence of the growing asset base, due to investments. In renewables, EBITDA fell 2.4% to €2.4 billion, improving the nine months 4.5% fall, after growing 2.7%, in Q4. Higher wind production, partially compensated lower hydro output along the year. In Spain, EBITDA was €736 million, 20% below last year, as a consequence of lower prices and the 32 lower hydro partially compensated by 7% higher wind production. Lower taxes on hydro as explained previously, partially compensated the fall. In the U.S. EBITDA fell 2.2% to $662 million, due to lower wind and lower prices, but improved significantly in the fourth quarter, thanks to new installed capacity and some one-offs, in trading. In the U.K., EBITDA was 0.7% up to £461 million, decreasing versus September 13% growth, due to a €29 million one-off indemnities accounted for in the Q4 of 2018. Nevertheless, higher prices and wind production, more than compensated lower hydro output, following the asset sale. In Brazil, EBITDA decreased 1% to BRL552 million, improving versus 7.4%, at September, with lower wind and hydro output, partially compensated by new 350 megawatt hydro capacity in operation. In Mexico, EBITDA was up 24% to $96 million, thanks to the 51% higher output, linked to the 323 megawatts additional solar PV capacity installed. Finally, in other areas, mainly in Europe, EBITDA grew 33.7% to €323 million, due to the German offshore contribution. Generation and Supply EBITDA grew 21.1% to €2.5 billion, driven by Spain and Mexico. In Spain, the EBITDA was up 51% to €1.6 billion, thanks to a 14.6% higher production, mainly due to the combined cycles, that went up more than 100%. On top of that, our active management of the customer portfolio of energy and smart solutions, contributed positively to the revenue increase. In addition, there is an €87 million one-off positive impact linked to the LNG contracts sale accounted in Q2. In Mexico, EBITDA grew 13.1% to $853 million, thanks to higher sales as a consequence of the 24% production increase linked to the new installed capacity in 2018 and 2019. In the UK, EBITDA decreased 64% to £96.7 million, affected by a 12.1% lower margin in electricity and 12% lower margin in gas due to the cap and the decrease both in electricity and gas sales, together with the disposal of our Generation business at the end of 2018. Brazil added BRL 282 million to EBITDA. Nevertheless, the Supply business was affected by a negative one-off of around BRL 80 million in Q1 and lower margins. In the IEI, EBITDA was €25 million negative, improving 2.7%, but still affected by initial development costs of our supply business in Europe. EBIT grew 8% to €5.9 billion in line with EBITDA growth, as depreciations and amortizations and provisions grew 8.1%, including €127 million higher depreciation due to the IFRS 16 and €106 million Q4 one-off impact due to the accelerated depreciation of acquisition cost of clients due to a higher churn rate in the UK, partially compensated by €111 million lower nuclear depreciation. Net financial expenses reached €1.3 billion, €144 million more than previous years. €80 million of this €144 million is due to the €2.4 billion higher average net debt including €1.6 billion due to the IFRS 16, which brings in €53 million additional interest expenses. There are €79 million linked to FX hedges to the appreciation of currencies, compared to last year. This has been partially compensated by a €60 million positive impact linked to the lower cost of debt that improved to 3.35%. Those reduction -- this reduction was limited by the increasing weight of more expensive non-currencies and the IFRS 16 impact. Our reported credit metrics remained stable in spite of the mentioned debt increase driven by IFRS 16 and our CapEx programs. On a like-for-like basis, excluding this IFRS system impact, FFO over net debt would have improved 0.7 percentage points to 22.2%. We continue financing our strong investment plan while limiting the debt increase, thanks to our strong cash flow generation and asset rotation plan with more than €2 billion of cash proceeds in 2019. Reported ratios were as follows: Net debt-to-EBITDA 3.7 times in line with 2018; FFO over net debt remained at 21.5%; retained cash flow over net debt was 20%; and leverage ratio was 44.1%. As I mentioned at the beginning of the presentation, IFRS 16 does not affect rating agency metrics as they already include debt leases -- as debt leases and rentals. Iberdrola Group remains the world's leading private group in green bonds issues. The most preferred asset class for ESG investors in the debt capital markets due to the use of proceeds, strict reporting and external verification. Our current asset base and investment plan focused in key assets for energy transition and efficiency will allow the group to continue taking advantage of the green bond marking and maintaining its leadership in this category. Additionally, Iberdrola reached €9 billion in sustainable credit lines where conditions are linked to the fulfillment of environment and social indication -- indicators aligned with sustainable development goals of the United Nations. In 2019, out of a total of €8.4 billion, we signed €4 billion of green sustainable financing in different products. Reported net profit grew 13% to €3.4 billion, thanks to the 8% EBIT growth and the increase in non-recurring results. Corporate tax rate was positively affected by €129 million due to the U.S. withholding tax exemption from 2019 onwards. 2019 results registered several positive net one-offs as you can see in the slide and several non-recurring net costs, mostly of them -- most of them are accounted for in Q4 2019 that will enhance future results. Including all these one-offs, 2019 net profit would have grown 8% in a year of extremely low hydro resource, proving the strength of Iberdrola business models. Thank you very much. And now the Chairman will conclude the presentation.
Ignacio Galán: Thank you, Pepe. To conclude, let me highlight in the set of result we are presenting today constitute a new record for the company. As you have seen in 2019 EBITDA is €10 billion for the first time in our 120 years' history. Net profit increased 13% to €3,406 million. And proposed shareholder remuneration will reach €0.40 per share up 14% compared to last year. The result also showed good prospects for the company in the short, medium and long-term. In 2020 they plan to continue increasing our investment to reach €10 billion for the first time. This implies a 40% increase versus the average of the last three years. We forecast to put into service four additional gigawatt. They will produce energy in 2021, and to continue building new project from our diversified portfolio in order to sustain our growth in 2022 and beyond. In Network, the increase in investment will result a 4% growth in our asset base exceeding €32 billion and we will continue improving our already outstanding operational efficiency. Business performance in 2020 will be driven by a new tariff frameworks and higher investment in most countries in the case of Networks. In Renewables results will benefit from additional capacity that will start contributing in the year. In the Generation and Supply, we expect higher output with prices already secured. This leads to a high single-digit growth outlook in net profit for year 2020 excluding the result from the Siemens Gamesa transaction. Finally, we expect to achieve this result while maintaining our financial strength and of course our traditional dividend policy. Looking beyond 2020, our vision and the track record we have shown over the last two decades of execution put Iberdrola in excellent position in the current energy scenario. The reinforcement of climatic policies in Europe like the European Union Green deal or the result in nationality and climatic plans or the net zero by 2050 plan in U.K. together with the new investment driven by the resiliency plans and increasing demand for clean energy in United States. And the new energy plan in Brazil and Mexico are opening up a huge new opportunity for this company. Taking this into account, we are now expecting to beat the outlook provided to you last February reaching a high single-digit average growth in the net profit also in the period 2020-2022. For the detail of the execution of our medium and long-term plan, we will provide to our next Capital Market Day in May 13 in London where I hope to see all of you. Thank you very much for your attention. And now we are ready to answer any questions you may have. Thank you.
A - Ignacio Cuenca Arambarri: Thank you, Chairman. We are now moving on to the Q&A session. And the first question comes from Elchin Mammadov from Bloomberg and Meike Becker from Bernstein. Our price in Iberia have dropped sharply. How will this impact Iberdrola? What is your hedging profile for 2020 and 2021 in terms of prices locked and in volumes result?
Ignacio Galán: Paco, do you mind to reply to this question?
Francisco Martínez Córcoles: Yes. Well it will affect in Norway. And this is because we have 100% of 2020 expected production and 70% of 2021 expected production already locked at that similar pricing that we sold last year.
Ignacio Cuenca Arambarri: Second question comes from Javier Suárez, Mediobanca and Meike Becker -- sorry, Javier Suárez, Mediobanca; and Meike Becker from Bernstein. It's about Spain renewable synergies. Outlook for the options. Methodology expected. Do we prefer auctions or PPA system?
Ignacio Galán: Well, I think it's not a question we would prefer. I think the energy policy is set by the government and the government will decide which is the policy that would like to apply. Saying that I feel in this moment there's a huge demand in the country. There are many, many people ready to invest in the sector. So I think it's - in my opinion it's my understanding, the country takes any kind of commitment with -- for things which the market can already profit for that one. But I repeat that this decision we have to be taken according with the policy with the government who would like to set on this particular field.
Ignacio Cuenca Arambarri: Next question is related to the competitive landscape in the supply U.K. and the strategy to be followed by Iberdrola there in that market and it's coming from Fernando Garcia Royal Bank of Canada.
Ignacio Galán: So, it's not a secret that 2019 growth already higher in United Kingdom. So, my feeling is that the situation is not very much sustainable. And I think in some time I think the things have to change. I think there are certain demands in this moment over the tariff cap made by some of our competitors which are willing to reflect the cost -- real cost of the sector. In any case, as I've already said many, many times, we -- that is a very small proportion of our diversified business mix. I think it's -- I don't know, but probably it's less than 1% of our total group EBITDA, so which I think if it's coming -- it's going well, that's fine. But if it's not going so well, I think it's not represented much in our total business results.
Ignacio Cuenca Arambarri: Question number four comes from Javier Garrido, JPMorgan; Alejandro Vigil, Cygnus Asset Management; and Javier Suarez, Mediobanca. And this is related to AVANGRID and the results and 2020 guidance given recently. Growth below expectation, key factors measure checking, when are we expecting things to change in AVANGRID in this moment?
Ignacio Galán: Well, I think the fourth quarter; the business has been affected, especially in Europe by minor storms which I think that is reflected in our accounts. But I think that precisely what I was commenting in my speech that in this momentum we are already just -- reached an agreement not for me and it's already reaching. And probably in the next few weeks, it will be as well reach an agreement for New York and Rochester, not only in terms of remuneration, the return on equity which we'll have on those regulated activity, but also how we can already minimize the volatility that is affected to those business affected mostly by this storm. Also probably I think in both cases the investments already are lower. It's going to increase heavily which will help us well to improve the service and minimize as well this volatility.
Ignacio Cuenca Arambarri: Next question comes from Harry Wyburd, Bank of America; and Javier Suarez, Mediobanca and it's related to Vineyard Wind, the situation of the permitting process and the potential impact of the delay in this permitting process.
Ignacio Galán: Well, as I already commented several times, we've been the pioneers in this thing in United States. So, I think last year we won -- we awarded another project. I think we are in this moment in the process of making together both project one for Massachusetts, one from Connecticut. They are a good news on that one. I think the delay -- I think Boeing has already fixed the calendar for -- which will affect a certain delay to our commercial operation. But in addition, it has already been extended to ATCs at 80% of the investment up to 2024 which implies that the project would mostly likely qualify for this fiscal incentive both projects as well. And also I think we will probably allow us to reach certain economy for scale. In certain use of improved technologies, we can already as a whole providing an even better return than that was expected at the beginning so -- and I think that now we have the time, the date for the approvals. And in the meantime, we are working in the joint project of this project of 800 and 804 megawatt, one for Massachusetts and one for Connecticut using all the economies of scale with that can already give us and benefiting of this extension of ATC's program of this 80% up to 2024.
Ignacio Cuenca Arambarri: Question number six comes from Isidoro del Álamo BBVA; Javier Suarez, Mediobanca and finally, Harry Wyburd, Bank of America. Would you roll out large inorganic investment now that the global CapEx opportunity for renewable looks set to expand significantly? And concretely M&A in the USA, we can explain something out.
Ignacio Galán: Well, I think there's already been too many news about this for a long time. I have to say that they are talking in particular with PPL. We have been already mentioned for several times to the amendments from medias. There are no any kind of agreement and they are not already any -- the potential agreement of with everything negotiated at present. So I think absolutely there are any deal in negotiation in this moment with this particular company. Our ambition is to deliver this €10 billion investment. And we have -- for the organic investments we have been planning this particular moment and we are focused absolutely in this particular thing.
Ignacio Cuenca Arambarri: Martin Young from Investec. He is interested in knowing if our guidance for 2020 is based on the net profit of 2019 of €3.4 billion? Or does one need to adjust for the one-off recorded in 2019?
Ignacio Galán: So, I don't understand it. The guidance for 2020…
Ignacio Cuenca Arambarri: It's the 3.4% plus single digit or we have…
Ignacio Galán: No, no. 3.4%. Yeah, yeah. We are commenting the plan 2019 base up to 2022, yes.
Ignacio Cuenca Arambarri: Number eight, what is the incremental CapEx included in the new €10 billion target to be focused? The question is coming from Rob Pulleyn, Morgan Stanley; and Harry Wyburd, Bank of America.
Ignacio Galán: For this year, I think similar of what we are projecting in the mix during 2019, I think roughly 40%, 45% is already going to be dedicated to renewables, something 35% to 40% dedicated to networks and the rest to power generation and supply, so similar mix.
Ignacio Cuenca Arambarri: Alberto Gandolfi from Goldman Sachs is interested in the 2022 guidance given in the page 40. If we come -- give some details about the power price assumption that would have been used.
Ignacio Galán: Paco has already mentioned then the price is -- as he mentioned that before. So I don't know nothing to add on this one. I think the prices are all in this moment sold. I think it's known -- no assumption. It's a reality. What we have provided in this particular moment and Paco has already mentioned this thing before. So I think it's not only expected. It's already signed and this moment is fixed.
Ignacio Cuenca Arambarri: Next question comes from Isidoro del Álamo, BBVA. And if -- can you give us an update on how much wind, solar net capacity you believe you can build per year for now?
Ignacio Galán: Well, I think, give me something to be explained on the Investor Day. So I think don't ask to me now to tell you what we are already working in this particular room. And I've already disclosing to you what we did last year 5,500 [ph] megawatt, which is five times more than the average we make already in the previous years. We -- this year we are going to make something between four and five. In this moment, I mentioned there are 9,000 megawatts in construction. It will be already completed during this year and next year. And I think -- and the expectation for the following year give me the chance to say that on the Investor Day. But as you can imagine, if we are accelerating and accelerating we have already applied -- we are accelerating, you put whatever number you like on this one on the acceleration. But then give to me the opportunity to explain this thing on the Investor Day.
Ignacio Cuenca Arambarri: Next question comes from Javier Suarez and it's related to the case of the semi-company called Zenith in Spain. If you can explain something.
Ignacio Galán: So, well Iberdrola, we have probably very strong corporate governance as Sainz already mentioned before, a very strong compliance policies. And what I can just say is that all these policies are working properly and of course we are cooperating with the justice. We'll continue to do so, because we have nothing to hide. We will -- as soon as the -- we'll continue to defend this company from any misleading information with any full transparency. And as soon as the news appeared, we had to already carry out the internal investigation that we are fully completed with the participation with independent third parties. Nothing has been found in the company's behavior, they can be considered not conform to the law. And I think that I can really say to you very strongly.
Ignacio Cuenca Arambarri: Martin Young from Investec is asking about the impact of -- possible impact in our renewables build program from the current coronavirus situation.
Ignacio Galán: So the first thing, I would like to say and we are fully collaborating with the authorities in all the markets and we will try to do whatever protect our workforce. Fortunately, in the countries which are more affected, we have little business or no business. But I think internally, we have already just organized a certain kind of protocol for this sort of protection. And in some cases, I think on the day-to-day business, we feel is not affected at all. With regards to the ongoing investment for the future one a few cases. So, if no suppliers has sent us a notice then they are already evaluated the situation. And if there are anything we are in contact with them. If there are anything, which is affecting to the supply chain or our vendors, we will be informed. But in the day-to-day business, it's not totally affected. If we are already established certain protocol for already -- for protecting our workforce in collaboration, of course, with authorities for whatever thing they will need on this respect.
Ignacio Cuenca Arambarri: Question 14, it comes from Rob Pulleyn, Morgan Stanley. Where does management see the best risk-adjusted return for new CapEx across the Iberdrola portfolio of businesses and regional opportunities? Or is it in the new areas? The best returns in new areas or on the traditional one, whatever...
Ignacio Galán: Well, I think for us all the areas are traditional. So, I think we are not new with renewables. We are not new in networks. We are not new in retail or power generation. I think all the areas are absolutely traditional for ourselves. It's -- for certain there are certain areas that we've been already investing and already generating -- investing in the last few years, especially networks and already given already certain growth or important growth, which is the case of Brazil or is the case in the United States, which I think with the new rate cases or the case as I mentioned Britain. But I think in renewables, I think the things are going well. I think we have provided track record, and we are already as I mentioned before leaders in wind, and we've been already first mover in this sector for the last 20 years. And now we have this opportunity with a pipeline of more than 40,000 megawatt of -- in pipeline and 9,000 megawatt in construction. But I think in Retail and Power Generation, we have something. In retail, we think -- or correct me Paco, I think 60 million customers in this particular moment. And I think we continue growing in this one. And in Power Generation, we put already Langreo service 2.5 gigawatts as well in Mexico. So -- which I think all the areas are already providing already a growth. But let me as well give the details on the 13th of May, segment-by-segment what is the growth areas. But I think all the areas are traditional for ourselves. In certain events, we've been already first movers, which is the case of the renewables or in our investment in networks. In another case, we are traditional and we continue defending the traditional business as we were already in the past.
Ignacio Cuenca Arambarri: From Harry Wyburd to the Bank of America. Is there any reason why you have been so active on disposal? You were aiming for €3.5 billion 2018, 2022 and have already delivered €4.6 billion 2018 to the first quarter of 2020. Is there a use of proceeds that you have in mind for the excess of disposals?
Ignacio Galán: Well, I think when somebody is ready to pay a good price for some asset I think, we are not in love with this asset. I think we are ready to transfer this asset to somebody else which is ready to pay a good amount for it. So that is what we did in most of the cases. But the second thing is that we are already accelerating our program of investment. I think this year we're going to invest €10 billion. The average investment in the previous year, were in the range of €5 million to €6 million. I think we are more than doubling. And I think we would like to keep our financial solidity for keeping our financial solidity with new resources. And I think, if somebody is ready to pay for certain of the assets a price with -- in the case of certain of those one, which we feel is really good for the shareholders, we are ready to divest advanced for concentrating and make another one to use the resources for expansion in other areas where we feel that we create more value in the future.
Ignacio Cuenca Arambarri: Moving to the question 16. After selling your LNG contract what is going to be our gas procurement policy for the future, and it's coming from Fernando Garcia, Royal Bank of Canada.
Ignacio Galán: Well, fortunately we took the decision to sell these gas in a moment with a capital gain. Probably we postponed this decision to be taken today, the situation will be -- not only not positive result, but very negative result. So in this moment the gas market is very liquid. And I think we have not any difficulties in already covering our demand in the day-to-day basis on the medium and long and whatever thing because there's plenty of gas. We have already -- most gas that whatever the world is able to consume at present. So I think we -- I feel -- we took a very right decision when we saw last year, our -- all our control, launching contract to gas because I think it was yes, let's say the last wagon in the last train for making so. So I think in this moment, we can already cover our demand in a very good condition without being opposed to have any kind of liability or obligation to take this gas from third parties.
Ignacio Cuenca Arambarri: The next question comes from Jorge Guimarães, JB Capital and it's related -- what are the expected timings of the regulatory review in the U.K.?
Ignacio Galán: Well as far as I know, transmission RIIO-T2 is now in negotiation that we'll start applying in 2021. By the middle of 2021 Feb, April, May middle of 2021 first half of next year and distribution is in 2023, it's two years later. So now we are already -- what we have already presented as I mentioned is the plans of investment for transmission and the project we have to be made and we've been already recognized as the best and better elaborate plans for that one -- from this independent team which has been appointed by -- again by the regulator. In the case of distribution, the thing is it takes longer. It still is two years ahead or almost three years ahead and I think the negotiation is still just in the initial steps.
Ignacio Cuenca Arambarri: Jorge Guimarães, JB Capital is asking about the impact of the ongoing low interest rate scenario in the new rate cases in the U.S. distribution?
Ignacio Galán: Well I think we just signed -- we just agreed the rate case for Maine for the -- which at 9.25% return on equity. In New York, we are on the last steps of reaching an agreement. We feel like recently it has been approved the rate case of our colleagues of Connect which I think is close to 9% return on equity and we feel that we will be already in a line will be not much different than that one. I think in both cases, I think the common point is that the investment which will be allowed will be -- have to increase for already keeping and maintaining and improving the service and the quality of digitalizing the grid. But I think those in New York -- Maine is done and New York is expecting in the next few weeks, I think that we can already as well close and reach an agreement for the next few years.
Ignacio Cuenca Arambarri: Javier Suarez from Mediobanca asks about the net debt EBITDA target of the company? I don't know if for 2020 or for the long-term?
Jose Sainz: Well we will comment net debt EBITDA for the long run in the Investor Day. For 2020, we are expecting to improve this because what we are expecting is that EBITDA we'll be able to grow more than the debt as the asset rotation and the Chairman has commented and the measures to improve work in process and working capital will allow us as I was saying to improve the -- to grow the EBITDA at a higher rate than the debt. So the target is to improve the 3.7 times.
Ignacio Cuenca Arambarri: Jorge Guimarães, JB Capital asks about any possible change in the foreign dividend taxation in Spain, if this situation has had an impact on our…
Ignacio Galán: Well first of all, I don't know. First we have to see if that this has already been approved. If isn't approved we will see. We have already our company -- our headquarters sorry in the country was. We have already a special fiscal treatment and not already an information that what is going to be done already at the national level nor at the basket level. So I think it's -- in any case if that happens should be not really an important amount for the company. But I think it's -- we have to contemplate that we are -- in terms of fiscal things we are already basked what we have already special bask -- special fiscal laws in this particular area of the country, the fiscal autonomy.
Ignacio Cuenca Arambarri: And finally last question comes from Alejandro Vigil, Cygnus Asset Management. Please allow us to switch and ask and answer it in Spanish. [Foreign language]
Alejandro Vigil: [Foreign language] Investors, and could you give us, a summary on, contribution in 2019?
José Sainz: [Foreign language] Well, during my presentation, what I pointed out is that, from the point of view the shareholders that Iberdrola has obtained historic results, because it's generated the value for the shareholders, throughout all of this time. And practically last year, we had a total return of 37%. And I'm also extremely satisfied, because the company last year also hired 3,500 people. And this year, we're going to be hiring another 5,000. And all of them are going to have stable jobs. And in our case, its 98%, of our people have fixed contracts. And they are going to do quality jobs. And they -- all of them have more than 55 hours of training, per person. And of course they also have a system based on equality, as because remuneration between men and women. And this is an absolute must of the company. And then, throughout the year and I also mentioned this before, we've reached out to more than 22,000 suppliers although many of them are in Spain. And in particular, the results in the vast country with more than €20 billion covering all site kinds of products and services, something that makes me feel very proud by the way is that, our CO2 emissions are two-thirds below those of our Spanish and European colleagues, with only 110 grams of CO2 per kilowatt hour, thanks to the efforts that we've made over the years to close down our coal-fired plants. And we've also invested a lot in renewables, in wind power, in hydroelectric facilities, all over the world. And there's another issue that is equally important. And this is what this company has done as regards paying taxes in all countries, because in our annual report there are lots of details on this issue. But let's say to give you some round figures the fiscal contribution of all countries has totaled something like €14 billion of which €3 billion have to do with those taxes that are charged to our financial statement. In other words, the shareholders have saved €5.2 billion. And these are the taxes that we've collected through our customers and employees. And this is VAT, although withholdings we apply. And should the company not exist of course, these taxes wouldn't be paid. But both one thing and the other, these are checks that are deposited in the coffers of different countries. And the rest of them, are impacts produced by indirect taxes, because of those activities that we have around us. So, what it means essentially is that, the social value of this company from a taxation point of view. And its level of involvement and where it operates is tremendously important. And we also publish a report every year. And I would recommend that you read it, because it's also in our annual memorandum. And while this is done by an external consultant and it contains all of these parameters that has to do with our contribution towards society.
Ignacio Cuenca Arambarri: The floor to Mr. [Foreign language]
Ignacio Galán: Thank you so much for taking part in this conference call. And let me -- the Investor relation is ready to reply whatever additional questions, you may have. And I hope to see you already to be able to reply as much questions you would like, on our 13th May, Investor Day, in London. Thank you very much. And see you soon. Thank you.